Operator: Good afternoon and welcome to IDT Corporation's Fourth Quarter and Full Year Fiscal 2017 Earnings Call. In today's presentation, IDT's management will discuss IDT's financial and operational results for the three and 12-month periods ended July 31st, 2017. During prepared remarks by IDT's Chief Executive Officer, Shmuel Jonas, all participants will be in listen-only mode. [Operator Instructions] After the prepared remarks, Marcelo Fischer, IDT's Senior Vice President, Finance and the Chief Financial Officer of IDT of IDT Telecom will join Mr. Jonas for Q&A. [Operator Instructions] Any forward-looking statements made during this conference call, either in their prepared remarks or in the Q&A session, whether general or specific in nature, are subject to risks and uncertainties that may cause actual results to differ materially from those which the company anticipates. These risks and uncertainties include, but are not limited to, specific risks and uncertainties discussed in the reports that IDT files periodically with the SEC. IDT assumes no obligation either to update any forward-looking statements that they have made or may take, or to update the factors that may cause actual results to differ materially from those that they forecast. In their presentation, or in the Q&A that will follow, IDT's management may make reference to the non-GAAP measures adjusted EBITDA, non-GAAP net income, and non-GAAP EPS. A schedule provided in the earnings release reconciles adjusted EBITDA, non-GAAP net income, and non-GAAP EPS to the nearest corresponding GAAP measures. Please note that the IDT earnings release is available on the Investor Relations page of the IDT Corporation website, www.idt.net. The earnings release has also been filed on a Form 8-K with the SEC. I would now like to turn the conference over to Mr. Jonas.
Shmuel Jonas: Thank you, operator. Welcome to IDT's fourth quarter and full fiscal year 2017 earnings call for the three and 12-month periods ended July 31, 2017. My remarks compare results for the fourth quarter of fiscal 2017 to the fourth quarter of fiscal 2016 and results for the full fiscal year 2017 to the full fiscal year 2016. This quarter showcased the resilience of our core communications and payments businesses, while we continued to invest heavily in our growth initiatives, including net2phone's unified communications as a service business, National Retail Solutions, BOSS Revolution international money transfer, and the BOSS Revolution mobile service that we expect to launch later this quarter. We have discussed the strong headwinds facing our core retail and wholesale businesses in our TPS segment many times. Nonetheless, we increased fourth quarter revenue in our TPS segment by $26.6 million and full fiscal year revenue by $12.5 million. However, TPS' revenue, less direct cost, decreased $2 million in the fourth quarter. The fourth quarter's revenue increase came from Wholesale Carrier and Payment Services, which more than offset decline in Retail Communications. However, retail margins improved in the fourth quarter, driven by a shift to higher margin destinations and increased sales via the BOSS Revolution Calling app. Wholesale Carrier revenue in the fourth quarter increased by $28.4 million, while full 2017 fiscal year revenue increased by $41.3 million. We have now increased Wholesale Carrier revenue sequentially for five consecutive quarters. While our Wholesale business grew its topline nicely, it did face margin pressure. The credit for the topline growth goes to our Wholesale Carrier team. The Wholesale Carrier team has developed an innovative solution that allows network operators to outsource their international long distance traffic management to IDT, which maximizes their bottom-line while freeing the network operators up to focus on their strategic growth. Following the quarter close, we signed up our first network operator, COMCEL, better known as Tigo Guatemala. The IDT carrier team is now managing all inbound and outbound international calls for Tigo Guatemala. We are working to implement this model with other carriers in Latin America and around the world. Turning now to our growth initiatives. Payment Services revenue increased by $10.5 million in the fourth quarter and by $25.9 million in fiscal 2017, largely as a result of increased sales of international top up. Within Payment Services, our international money remittance business increased fourth quarter revenue by 60% and full fiscal year revenue by 94%. Our online international money remittance business contributed over a third of all of our transactions and is on track to contribute over half by the end of the year. Other growth drivers launching this quarter include retail international money remittances from New York and California as well as our new retail remittance portal. Also within Payment Services, our National Retail Solutions business or NRS continues to thrive. NRS has already deployed over 3,500 terminals and bodegas around the country and we expect to ramp up that rollout significantly this year. NRS' revenues are generated from multiple sources; sales and leasing of POS terminals; recurring monthly software and service fees, advertising revenue, various value-add services to CPG companies, including coupons, loyalty programs, promotions, and new product seating, as well as various other merchant services, including credit card processing and cash advances. Our unified communication as a service or UCasS segment increased fourth quarter revenue by $769,000 and full fiscal year revenue by $3.1 million. net2phone's cloud-based communications offering was the lead driver of the increase. Revenue from net2phone's cloud-based offering more than doubled in fiscal 2017 and we expect it to triple in fiscal 2018. We also recently launched cloud-based communications and SIP Trunking services in Brazil and Argentina. Leveraging IDT's local infrastructure and staff gives us a basis for offering a complete communications solution on a global scale. The early results from Brazil and Argentina have been excellent, and we expect the launch additional countries this year. Later this quarter, we will launch BOSS Revolution mobile. It will offer pricing that could significantly reduce the monthly charge for many users compared to competing services while still be very profitable for us. If we can convert even a fraction of our current BOSS PIN-less customers to BOSS mobile, it will be a very big success. However, we are looking at this as an opportunity to expand beyond our current customer base or demographics. For example, many senior citizens are relatively light users of mobile voice and data, so BOSS Revolution mobile will save them a lot of money. Another example is parents who have Wi-Fi at home, but want to be able to reach their kids when they're out and about. It should save them a lot of money as well. IDT's Board of Directors declared a fourth quarter dividend of $0.19. The dividend will be paid on or about October 20th. We continue to work towards the spin-off of our non-core assets to IDT's stockholders, including our real estate assets, our interest in Rafael Pharmaceuticals and other investments, and $50 million to $60 million in cash. For a more comprehensive and detailed discussion of our fourth quarter and full fiscal year results, please read our earnings release issued earlier this afternoon and our Form 10-K, which we expect to file with the SEC on or about October 16th. Operator, back to you.
Operator: At this time, I'm showing no questions, so I would like to conclude our question-and-answer session as well as today's conference. We thank you for attending the presentation and you may now disconnect your lines.